Operator: Hello, and welcome to the Digital Turbine Reports Fiscal Second Quarter Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note, today's event is being recorded. I now would like to turn the conference over to your host today, Brian Bartholomew. Mr. Bartholomew, please go ahead.
Brian Bartholomew: Thanks, Keith. Good afternoon, and welcome to the Digital Turbine Fiscal 2022 Second Quarter Earnings Conference Call. Joining me on today's call to discuss our results are CEO, Bill Stone; and CFO, Barrett Garrison. Before we get started, I would like to take this opportunity to remind you that our remarks today will include forward-looking statements. These forward-looking statements are based on our current assumptions, expectations and beliefs, including projected operating metrics, future products and services, anticipated market demand and other forward-looking topics. Although we believe that our assumptions are reasonable, they are not guarantees of future performance and some will inevitably prove to be incorrect. Except as required by law, we undertake no obligation to update any forward-looking statements. For a discussion of the risk factors that could cause our actual results to differ materially from those contemplated by our forward-looking statements, please refer to the documents we file with the Securities and Exchange Commission. Also during this call, we will discuss certain non-GAAP measures of our performance. Non-GAAP measures are not substitutes for GAAP measures. Please refer to today's press release for important information about the limitations of using non-GAAP measures as well as reconciliations of these non-GAAP financial results to the most comparable GAAP measures. Now, I'll turn the call over to Chief Executive Officer, Mr. Bill Stone.
Bill Stone: Thanks, Brian, and thank you all for joining our call tonight. First, I want to formally recognize the amazing hustle and effort of the combined One DT team. This is our first earnings call announcing a full quarter of results as one Digital Turbine, and I'm proud of being part of such an amazing team that is scaling together so quickly. It was just a few months ago in June that we were on our earnings call, announcing our DT revenue results of just over $310 million for the full fiscal year. And today, we are announcing quarterly revenue results that are nearly equal to those annual results from the entirety of last year. I'm pleased to be part of something growing so quickly and profitably. Also, I want to remind investors that we'll be hosting an Analyst Day next week where we'll be able to go deeper on our business, including hearing directly from our partners, see demonstrations of our products, get a longer-term growth model for our business; and finally, hear more details about the strategic vision of where we're heading. Tonight, I'm going to break my prepared remarks into four areas: first is some commentary on our consolidated results for the quarter, including a breakout of each of our segments; second, are some real-time operational updates; thirdly, some updates on the strategic integration progress of Wind Digital Turbine; and finally, I want to provide some commentary on the current events going on in our industry and economy such as regulations, supply chains, Apple's IDFA impact and other consolidation and M&A activities. On a consolidated basis, we delivered just over $310 million in revenue and nearly $48 million in EBITDA. Compared to the September quarter of last year, this represents a 338 increase on an as-reported basis and a 63% increase on a pro forma basis for revenues and 191% increase in EBITDA on a reported basis and over 130% increase in EBITDA on a pro forma basis. I was most pleased to see the operating leverage of the model with our combined entity as this strong revenue growth only required 13% operating expense growth. And as we've said on prior earnings calls, the ability for us to grow the top line faster than the expenses required to support it generates accelerating cash flows. And to support this point, I want to call out our all-time record of $40 million of free cash flow generated from the September quarter as a proof point of the strong operating dynamic and the health of our overall business model. Turning to the segment results. I want to remind investors that our results will be broken into three segments: the first is our on-device media business, which includes our App Media, Content Media and Single-Tap business; the second segment is our AdColony business; and the third segment is our fiber business. Given that Digital Turbine, AdColony and Fiber have all been public companies, we believe reporting these segments in the short term will provide investors the best comparison and transparency of results. Also, to make comparisons easier for investors, I'm going to refer to the AdColony and fiber results as if we had owned them last year so we can discuss pro forma results. And as we go forward, we'll look to reorient our segments to better align with our go-forward strategies. But in the short term, we believe this is an easier apples-to-apples measurement of our results. First, on our On-Device Media business, it set all-time revenue records in the September quarter and generated over $129 million in revenue, which is 73% growth year-over-year. Driving the strong organic growth with strong performance across the board in our Content Media, App Media and Single-Tap business. Our U.S. revenues in our App Media business in the last three September quarters has gone from $30 million in 2019, $40 million in 2020 to over $60 million this past quarter. We're happy to see 100% growth in our U.S. app media revenues over that time period despite modest device growth. However, more impressively is our international growth in App Media. In the September 2019 quarter, we did approximately $3 million in revenue. In September 2020 quarter, we did $8 million in revenue. And this past September 2021 quarter, we did over $20 million of revenue. That is over 500% growth from two years ago and 150% growth from last year. We saw devices be a growth driver for part of this revenue increase as overall devices rose by approximately 20% from a year ago, but revenue per device or RPD was the real story. RPD increased by nearly 50% in the U.S. compared to a year ago and were up over 100% internationally from a year ago. And as we've discussed on prior earnings calls, RPD is a core health metric of our business as it showcases the value of our platform to advertisers and customers. And finally, it's important to note that this is all organic growth. And now with our synergies from our acquisitions and continued expansion with new and existing partners, we are optimistic on continued growth from our App Media business. In particular, we continue to see hyper growth of our Single-Tap business that is now rapidly approaching a nine-figure run rate annual business compared to being a seven-figure business a year ago. Having SingleTap now fully integrated with our appreciated acquisition is a major driver of these accelerating growth results. Growth is both coming from U.S. and international such as partners like Samsung. And in particular, our international SingleTap business has gone from basically zero a year ago to now a multimillion dollar quarter business. And last week, SingleTap was recognized by ad exchanger as the number one new demand side platform, or DSP Technology Award for 2021. We are continuing to invest in the technology, and we were just granted our second patent on SingleTap to extend to other device types. Meanwhile, our Content Media business has enjoyed similar accelerating results. In the September quarter of 2019, our Content Media business did a little more than $10 million in revenue. In September 2020, it did over $20 million, and this past quarter, it did over $35 million. Again, this is all organic growth. I'm pleased to announce that we are expecting to launch our first content products with Verizon later this month and expect to launch with AT&T next quarter. In addition, we are expanding internationally with multiple OEMs in Asia and American Movil in Latin America. Turning to our AdColony segment. AdColony had approximately 20% year-over-year growth comparing the September quarter to last September quarter. In particular, the AdColony brand business, which is highly strategic for our One Digital Turbine efforts, showcased approximately 40% year-over-year growth and accounts for the fastest-growing portion of AdColony revenues. In particular, our North America brand business is performing well and not seeing any material slowdowns due to supply chain-related issues. The less strategic performance business contracted in the quarter by 18%, primarily driven by Apple's IDFA changes, which I will speak more about later in my remarks. And for context, this IDFA impact accounts for approximately 1% of our consolidated revenues so it is not material to our overall results. We continue to be excited with the expanding brand relationships in multiple industries and geographies with top-tier names such as Starbucks, Procter & Gamble, BP, Nestle and emerging new brands like Crypto.com. And as two simple examples, Starbucks has expanded its brand spend with AdColony by over 50% year-over-year as we now have more supply for them to leverage with our acquisitions, and McDonald's is in the process of expanding their AdColony brand relationship with us to include leverage in our SingleTap technology. Turning to Fyber. Fyber's full quarterly results were impressive, showcasing year-over-year growth of over 90%. Fyber has achieved over 140% of last year's revenue in the first nine months of 2021 compared to the full year of 2020. And even more impressively, EBITDA in the same comparative period has increased over 700%. In other words, Fyber is not only accelerating growth on the top line, but is now at that critical inflection point of scale that enables accelerating operating leverage in their core business. This impressive growth was driven by both rates and volumes. On rates, during the September quarter, Fyber saw both impressions and eCPMs increased by approximately 40% compared to a year ago, while also increasing the volume of ads delivered by almost 50%. More specifically, fueling the strong growth was marketplace video where we saw revenues more than triple year-over-year. Both AdColony and Fyber made strategic investments in video rendering of mobile ads over the past few years and are now capitalizing on the macro global tailwind of video ad formats as advertisers prefer the stickier, richer and more pricing elastic ad format compared to other traditional digital formats. With these three segments in place, we are beginning to increase our focus on revenue synergies. Our synergy revenue run rate approached 10% of overall revenues as we exited the quarter. We are working on over a dozen different revenue synergies between the companies, whether that is AdColony and Fyber supply, appreciate buying on Fyber supply or expanding AdColony's demand reach with digital turbines content media supply, just to name a few examples. In addition to the revenue these synergies create, many of the synergies also improve our gross margins, while simultaneously delivering more value for our partners by taking unnecessary links out of the supply chain of digital advertising. This is a major strategic focus area for our team to accelerate our progress here. Now turning to the forward outlook. I want to provide some commentary on how we're positioned for continued growth. With our acquisitions, our growth levers of devices, products and media have not changed. They've just been accelerated and expanded. First on devices. After many quarters of flattish to declining device sales in the United States, I'm pleased to announce that we grew devices nearly 10% in the U.S. and over 20% internationally compared to September quarter last year. We're also seeing over 40% of new devices sold with our largest U.S. carrier partners being 5G capable, which is a material increase compared to last year. And this is important because it drives richer video advertising. We've now passed 750 million devices that our software has been installed on. On the product front, our revenues from our dynamic installs grew by 25% year-over-year in the September quarter, but now represent approximately 15% of our total consolidated revenues compared to over 50% last year as the Company has been repositioned to a monetization over the life of a device company versus just a monetization at first activation company. Our revenues that occur over the lifetime of the device now represent over 80% of our total consolidated revenues compared to just over 40% last year. Diversifying away from revenues only attributable to first boot and monetizing over the life of the device has been a strategic priority for our business, and this progress is material. I'd mentioned SingleTap as a major growth driver earlier in my remarks, but we're also looking to many other products to generate growth, such as Notifications, Discover Bar, FairBid, Offer Wall and Marketplace. In other words, diversification is working well to drive both top line growth and no reliance on any single product to drive growth. And to further emphasize this point, this is also our first quarter where we do not have a single partner or customer that constitute more than 10% of our revenues. I now want to turn to our integration update. With the completion of the acquisitions, we've now successfully assembled the key pieces of our full stack end-to-end platform. I want to spend a minute here to highlight to investors what truly differentiates our end-to-end platform approach versus other industry players. First is having our technology on device. The software presence on underlying devices provides us a distinct advantage, a critical one, which is now our ability to use our patented SingleTap technology to drive materially higher conversion rates in our platform. Second is our independence. We have opted to vertically integrate by functionality unlike many other industry players who have drifted into the content arena, thereby compromising their platform neutrality, imposing potential conflicts of interest for other app publishers and advertisers on the platform. And finally, zoning the end-to-end network. So much of the supply chain of ad tech comes from companies that are many steps and many hops involved. One of the main reasons why companies like Google and Facebook have been successful is to have ownership of the end-to-end relationship to maximize benefits for both themselves and for advertisers while simultaneously allowing other players to plug into their platforms to fill the white spaces. In essence, our on-device technology presence and independent approach make our platform more attractive to app publishers and advertisers trying to optimize monetization and return on investment. It's obviously early days, but we've already received positive feedback from numerous partners and customers validating our approach. To close out my prepared remarks, I wanted to provide some commentary on the macro and industry-specific events happening real time. First, on the macro environment, one of the great things about our business as a cloud-based mobile software company is we don't have input or hard cost. Thus, our exposure to supply chain and inflation risks is muted relative to others. We've seen a couple of advertisers rethinking their spends for the December quarter, given supply chain constraints, but to date, we estimate this to be a low single-digit percentage of overall spend. In other words, it's not material. And regarding new device sales, while we do have to see some modest exposure to new device sales, but given over 80% of our revenues are from devices already in the hands of customers this risk is also relatively small. On the regulatory front, we are seeing legislation around the globe about regulating big tech firms to offer more consumer choice and control. Society is in the midst of a debate around antitrust versus privacy and whether we want to consolidate power in the hands of a few in the spirit of privacy or offer customers the ability to choose the products they want versus being forced to use the products that the big tech firms want them to use. There's bipartisan legislation here in the United States, looking at looking at these dynamics closely. And from a DT perspective, we view this debate of privacy versus antitrust is a bit of a false narrative as we can be an option of choice for consumers with Verizon, AT&T, Samsung or whoever, while simultaneously protecting privacy on device. We are closely monitoring these regulations and have already partnered and supplied input to regulatory authorities. We will discuss these dynamics in more detail at our Analyst Day on new business opportunities that may open up for us. But given our unique position with operators and OEMs, we see today's regulatory environment as a tailwind, not a headwind for our business. Regarding IDFA on Apple's iOS platform specifically, I believe all third parties have seen an impact, including us on their performance businesses, while brand businesses have been more insulated. It's not material for us as approximately 75% of our revenues are from Android and 25% are from iOS and the mix shift towards Android has been accelerating. Thus, the IDFA impact is single-digit percentage of our consolidated revenues. And given we already support Apple's SK ad network integration, also known as SKAN, and our machine learning models improve on device decisioning for third-party players, we do see this as a temporary phenomenon. But in the short term, IDFA is a headwind for all third-party performance players. We believe the largest players in the space are being hurt disproportionately the most as they are relying upon things like view through attribution that has become extremely difficult in a world without IDFA. However, what we believe makes us different from others is our concentration of brand dollars from AdColony that worked both on iOS and Android and tend to be more pricing elastic, our majority focus on Android and our SingleTap capabilities. These positive factors are all growing faster than any negative IDFA impacts that we see. We'll bring this dynamic down in more detail at our Analyst Day, but I think it's important for investors to understand, which companies are relying upon IDFA as a core part of their business versus companies that have diversified options to mitigate any headwinds from Apple's choices. And finally, we've seen a large number of acquisitions in our space over the past few months. This is a positive as many companies like Digital Turbine are recognized the importance of scale and taking point solutions out of the marketplace to be combined with other offerings such as what we did earlier this year to allow better experiences for customers and advertisers while simultaneously taking inefficiencies out of the market. As mentioned earlier, we strongly believe the focused on device race that we are running is unique and differentiated in the market and are going to continue to focus on that race while ensuring some of these macro things discussed earlier in my remarks, allow us, as Wayne Gretzky famously said, skate to where the puck is going to be versus where it is now. That will be our inorganic and organic focus going forward. With that, this concludes my prepared remarks, and I'll turn it over to Barrett to take you through the numbers.
Barrett Garrison: Thanks, Bill, and good afternoon, everyone. We're excited to be announcing our first full quarter with the results of the newly joined acquisitions. And we're pleased with our strong second quarter performance across both our existing business and the performance on the newly acquired businesses as well. I will occasionally reference results on a pro forma basis, which references quarterly results and comparisons as if all acquired businesses were owned for the second quarter of fiscal 2021. We believe these pro forma results provide additional insight into the underlying trends when comparing current performance against prior periods. My comments today will refer to comparisons on a year-over-year basis unless otherwise noted. Revenue of $310.2 million in the quarter was up 338% as reported and 63% on a pro forma basis. And adjusted EBITDA increased to $47.9 million, growing 191% year-over-year and adjusted EPS of $0.44 per share increased 193% year-over-year. On Device Media revenue, which represents existing revenue derived from the Company's Application Media, inclusive of SingleTap, DSP and Content Media and platform products, increased 73% year-over-year to $129.4 million. Total in-app media AdColony revenue contributed $61.5 million during the quarter and was up 19% on a pro forma basis. Our in-app Fyber business contributed $125.7 million during the quarter and was up 93% on a pro forma basis. Our non-GAAP gross profit was up 210% to $94 million, which was up 55% on a pro forma basis. Gross margin on the platform was 30% in Q2 and reflects our current business segment mix now that a full quarter of results are reflected for our acquisitions. While our gross margins in the quarter are impacted by the business mix of the new acquisitions, we experienced consistent margins in our existing core on-device business. We delivered continued impressive expense scale in the platform as cash expenses were $46.1 million in the quarter or 14.8% of revenue, down from 21% of revenues in the prior year. And our cash expenses only increased 13% year-over-year on a pro forma basis, while revenues were up over 63% in the period. Total operating expenses were $76.7 million, including approximately $9.2 million in transaction-related costs and compared to total as-reported operating expenses of $17.6 million in the prior year. As an update, the integration of the acquisitions is progressing nicely, and we anticipate certain cost benefits to be realized over the coming quarters as integration efforts are successfully implemented to further improve our operating leverage. I'm also pleased that operating leverage and consistent EBITDA growth is being achieved even as we continue to make a number of focused near-term investments, primarily within our sales force and technology teams to support new products and partners to drive future incremental revenues on the platform. In this context, we would expect our EBITDA margins to continue to expand over time, given the inherent operating leverage in our business and the return to be realized from our near-term investments and synergies. I continue to be pleased with our profitability and free cash flow delivered by our business. In the quarter, we achieved non-GAAP adjusted net income of $45.3 million or $0.44 per share as compared to $14.5 million or $0.15 per share in the second quarter of 2020. Adjusted EBITDA of $47.9 million was up 191% over prior year. Our GAAP net loss was $5.9 million or $0.06 per share based on 102.7 million diluted shares outstanding compared to a second quarter of 2020 net income of $0.4 million income or $0.00 per share. Our GAAP net loss included a $22.1 million charge for the contingent consideration related to the Fyber and AdColony acquisitions and also included $9.2 million in transaction-related costs in the quarter. We also experienced certain favorable tax benefits in the quarter, resulting primarily from stock comp expenses. These nonrecurring tax benefits drove a favorable GAAP effective tax rate in the quarter. Free cash flow from the quarter was $39.9 million, enabling us to exit the quarter with $95.5 million in cash balances. Our debt position was $260 million, consisting of $247.1 million drawn against our $475 million revolving credit facility, inclusive of the $75 million accordion feature, plus $13.4 million in debt assumed through the Fyber acquisition. Our net debt position at the end of the quarter was $164.6 million. I'll note, we are currently comfortable with our existing capital position to fund the remaining earnout obligations and the needs of the business operations with our available open revolving line, the cash on hand and the free cash flows generated from our business. With our expanded credit facility, a healthy balance sheet and strong free cash flows, combined with the transformative new acquisitions added to the platform, we're excited and poised to execute on our growth plans for fiscal '22 and beyond. Now let me turn to our outlook. We currently expect revenue for Q3 to grow to between $350 million and $355 million, which represents growth of 30% on a year-on-year basis. We expect adjusted EBITDA to grow to between $53 million and $56 million and non-GAAP adjusted net income per diluted share to be between $0.41 and $0.44 based on approximately 105 million diluted shares outstanding and an effective tax rate between 15% and 20% on our non-GAAP adjusted net income. In closing, we're extremely pleased with our performance in the quarter and the continued focused execution from our team. I'm excited to build on the momentum and success in the second half of our fiscal year. With that, let me hand it back to the operator to open the call for questions. Operator?
Operator: [Operator Instructions] And the first question today comes from Anthony Stoss with Craig-Hallum.
Anthony Stoss: Congrats on the results. Bill, if you wouldn't mind, and I guess, additional congrats on the Verizon and AT&T content wins, can you maybe size that opportunity for each of those for DT going forward? And then also I think on the last quarterly conference call, you talked at length about the upcoming Notifications product launch. I'm curious where we stand on that. I know you talked about several products on the call, but any additional details in terms of timing of these product launches would be helpful.
Bill Stone: Yes. Thanks, Tony. Yes, as far as the Verizon AT&T go, how we think about it conceptually is we just talked about $35 million in quarterly revenue in the Content Media business. The biggest driver of that is our relationship with T-Mobile. And if you think in rough terms that T-Mobile is 1/3 of the market, Verizon is 1/3 of the market and AT&T is 1/3 of the market. That's how we probably think about the opportunity for us. I mean that's not -- to me, we think that's going to happen in the December quarter. But as we think about it more strategically, as we go forward in time, that's how we'd probably break down the market opportunity for that on the content media side. So we're excited to get going here in early days with Verizon and then get going next quarter with the AT&T on that. Yes, regarding notifications, we're starting to see some significant movement in revenue there. It's not as big as our SingleTap business, but it definitely is growing. It was basically zero business last year and now seven-figure plus business for us today and growing. How we actually see that product is actually packaging up, that product with some of our brand relationships that we have on the AdColony side. We're excited about that development. And one of the things you saw in our business, as we talked about our revenue per device growing by 50% year-over-year here in the United States. And the driver for that was more media dollars, but it's also more products, including things like Notifications now starting to have an impact on the overall RPD metric. So we're really excited about the diversification of what we're doing here. And for you that have been around the story for a long time, remember when Dynamic Installs was the majority part of our business. And now it's very much a small part of our business, even though it's still growing. So we're excited about all the diversification that we have.
Anthony Stoss: And if I could sneak in one further quick one. Any new updates in terms of Samsung's launch of SingleTap? And I'm just curious if you've been approached by other OEMs or when do you think you can start unloading additional OEMs for a similar agreement?
Bill Stone: Yes. We're in the process of ramping and scaling with Samsung right now. We started in Brazil. They went to the rest of Latin America. We're in the process now of getting into Europe and scaling up in Europe, and we'll look to expand to other geographies over time. So we're in the process of doing that real time right now. And then we're just also starting to get going with other OEMs as well. It's early days and obviously, the volumes aren't as material there with Samsung. I think the important point here is you're seeing diversification, whether that's other OEMs, whether it's Samsung, whether it's Verizon, whether it's AT&T, American Mobile or what have you, there's a lot of supply sources for us out there to help continue to grow and scale the product.
Anthony Stoss: Thanks, Bill. Congrats again.
Bill Stone: Thanks, Tony.
Operator: And the next question comes from Tim Horan with Oppenheimer.
Timothy Horan: Two questions. One, the IDFA impact, is that largely done at this point sequentially? Or you expect another quarter two of impact? And secondly, on SingleTap, can you just talk about customer interest a little bit more, how many customers you have on it now? And how many -- what's the ramp there over the next year or so?
Bill Stone: Yes. Sure, Tim. Yes, on IDFA, as I said in my prepared remarks, I think everybody that's advertising on Apple is impacted in some way, shape or form, especially people that are performance players and what performance I mean is people that you're trying to get somebody to do a specific action, not just watch a video of buying a new car, but install this app on your phone kind of advertising. And the players that have, I think, been disproportionately hurt by IDFA, and you've seen some of them come out and talk about it in their earnings releases are the ones that have been the larger players that are overly relying upon the IDFA capabilities to match up, say, I saw a Starbucks ad, and I'm a big player. I didn't click on it. I just saw it, and then I can match an IDFA that somebody might have went to the app store and downloaded that app -- and you may not even clicked on it, but they could claim attribution and therefore, get paid. Those kind of things are gone now. And so I think players were relying upon those things, which was not a Digital Turbine, our ones are being impacted disproportionately there. For us, and as I mentioned in my remarks, on our Performance business, on AdColony. We saw some sequential down activity as a result of IDFA, but for us, it's roughly 1% of our consolidated revenue. So it wasn't material because we're just not relying upon things that are dependent upon IDFAs like other players. But what I do expect over time is this to normalize. And I agree with other companies that have made the comments that as we get into 2022, we'll see this normalize I think what you've been seeing so far is a lot of people that were spending budgets to drive performance or direct response type of things. Maybe they're spending $100 before IDFA. They tap the brakes. Now they're spending $50 and they want to kind of see how the dust settles before they go back up to $100 and what their return on ad spend expectations are. But ultimately, consumer eyeballs are on iPhones and people will, I think, figure out how to get that spend back that's using things like integrating with Apple's SK Ad Network or other kind of on-device machine learning models or kind of other things, those things will happen in time. But I think in terms of the current quarter, less so for digital turbine, maybe more so for other players. I think there's definitely some headwinds there and then on your second question around on SingleTap and customers. The great thing about what we're excited about is we've been generating the results that we've been generating with roughly a dozen plus advertisers. It's not like it's thousands, and so now we're just in the process of scaling those. So we've been doing great things with companies like Twitter that we've been ramping with I mentioned in my remarks that we're just getting going to the current quarter with companies like McDonald's. We expect to expand that number dramatically through our own direct relationship, would appreciate -- And then we'll look over in time to scale SingleTap to other distribution channels, whether that's larger social media players or other companies have large audiences that want to take advantage of the SingleTap capabilities. So our excitement level here is that we're just getting going and expanding the supply with the Verizons and Samsungs. And now that's really opened up the chicken or egg to now expand the demand side of it with all these new advertising relationships. So it gives a lot of optimism as we head into 2022.
Operator: And the next question comes from Darren Aftahi with Roth Capital Partners.
Darren Aftahi: Hey, guys, thanks for taking my question. Two, if I may. First, Bill, you talked a little bit about cross synergies. I think you had referenced 10% and mentioned McDonald's and Starbucks. I'm just kind of curious -- what does the pipeline kind of look like for supply and demand products that you now have on your ad stack and in your core DT in terms of like where have you seen kind of the most opportunity, low-hanging fruits what's going to be more of a kind of intermediate term impact and maybe what regions of the world? And then on your Samsung commentary, I think last quarter, you talked about expanding SingleTap and the whole network globally. How much of a needle mover was that, if any, in the quarter? And if not, will that start to kind of light the fuse in the December quarter?
Bill Stone: Yes. Thanks, Darren. Yes, first on the synergies, as I mentioned, we affectionately call it internally the Da Vinci code where we've got these dozen plus synergies that we track on a weekly basis and really just about how we mix and match all the different combinations between the companies. And so we're excited to see some real positive growth and momentum there. But just to highlight some of that, I think that I'm probably most excited about, first is just leveraging our appreciated DSP and allowing our clients from both the Fyber and AdColony and DT side to leverage, appreciates capabilities. That's -- number one with WAS single tab. Number two would be the ability to take our AdColony demand and leverage it on Fyber supply. One of the always the constraints on the AdColony business is a company like McDonald's may say, Hey, here's $1 million to go spend. And here's what we're looking for in terms of segments and targets and positioning for return on ad spend. But maybe AdColony, you could only have the supply to deliver $100,000 of that spend, against that target. Well, now with this expanded supply with Fyber, now the opportunity is to spend more of that budget that a company like McDonald's would want to spend. So that's an immediate revenue synergy for us as well. And then the final part is then just being able to package up the user acquisition capabilities we have, whether that is through SingleTap or through our dynamic install business or through our Wizard products and be able to package that up to our publisher and advertising partners is another opportunity for growth. So, when we go in and talk to them about things like mediation or expanding our relationships with other kinds of products like that, it offers up incremental opportunities and differentiating things that others in the marketplace might not be able to offer. And then as far as your last question on the SingleTap and the needle mover in the quarter, yes, I mean in percentage terms, it was nice growth in terms of needle moving against a $310 million quarter. Yes. No, it did move the needle in those kind of terms, but we're laying the foundation. It's kind of as I said in my quote in the press release was really about getting some of these foundational elements established. So when we look at growth drivers into 2022 and beyond, the kind of things that we're doing now position us well.
Darren Aftahi: Can I squeeze in one more? You mentioned gaining a patent for your IP on SingleTap for devices outside of mobile. Can you speak to that? And with the opportunity in connected TV, is that an opportunity for apps? I know we've talked about this in the past, but is that sort of a real-world opportunity near term? Or just walk me through that logic. .
Bill Stone: Yes. One of the things that we're excited about is -- and we've talked about this for a while, is we've been focused on smartphones because it's just the sheer volume, right? You're talking about 1 billion plus that gets sold every year. So there's just the volume is there and we focus there. But as we think about the addressable market for our company, it goes much beyond that, right? It goes -- you mentioned TVs and Internet of Things and tablets and PCs and all kinds of different things that we're excited about. And I think it's important for us to think about our technology in that context as well. So as we go forward, we can offer consumers better experiences in terms of delivering apps or content to whatever the device they're on and leveraging some of the things we've done on smartphones. That's a natural extension for us. It's not anything that's going to show up in the December quarter. But as we again, as we think about how the Company is strategically positioned and what I'll call is we're walking and chewing gum here in terms of focus on the short term and just delivering and executing on the quarter, but also looking around the next quarter and where we want to be. These are the kind of things that get me excited about our ability to do both.
Operator: And the next question comes from Austin Moldow with Canaccord.
Austin Moldow: Can you walk through the puts and takes for that AdColony growth number in the quarter, especially since performance is a relatively small piece. Curious what's been slowing down.
Barrett Garrison: Yes. So when we say -- our performance business was challenged a bit in the quarter. It is a relatively smaller piece. But with respect to the focus in our brand business that actually accelerated year-on-year, it didn't. In combination, we grew close to 20%. Some of that IDFA that Bill focused on that we outlined was a small percentage of the impact and headwind in the quarter. It occurred in our performance area of the business, Austin. So anyway, that's the outline of kind of those two puts and takes for in and out and an overall growth position in AdColony.
Bill Stone: And Austin, I'll just add I just want to add some color on that, more strategically above and beyond kind of the quarter-over-quarter numbers. The thing you got us excited about AdColony was just the amazing job they did with brand and with video. And that's where the business grew, that's what we're focused on. I think there's a lot of juice still left to squeeze on some of these other legacy businesses they have as we go forward with some of the things we talked about already in some of the other Q&A. But the brand thing is I'd really highlight because that's the synergistic part that really fits hand in glove with what we're trying to do with our core DT on device business in the Fyber business. So that's something we think is performing really well, and we're excited about.
Austin Moldow: Okay. Great. Now instead kind of looking ahead, what are the major growth drivers for Fyber specifically over maybe the next couple of quarters or so?
Bill Stone: Yes. I think on the Fyber side, there's a few drivers. Number one is continuing to expand more and more publishers to the platform. Fyber has done an amazing job specifically overseas in markets like APAC in terms of showing really strong growth. So there's a lot of publishers, I think, still to add there in terms of just expanding the addressable supply would be number one. Number two is continue to bring more demand to the platform and whether that's through things like AdColony or with that other integration things that can be done through the Trade Desk or Google, bringing more of those demand dollars into that supply with more scale. So I think that would be area number two that I would think about. And then area number three, I think about is expansion of new products. And so Fyber has been heavily dominant with their marketplace or exchange product. Their mediation product and their offer wall product they're all things, I think, have some nice room to run. So I think those are the three drivers we see for them going forward.
Operator: And the next question comes from Tim Nollen with Macquarie.
Chris Quintero: This is Chris Quintero on for Tim. So given your On-Device business is on the Android and what's the kind of like sense you guys have gotten from the incremental ad budgets that you've been able to receive because of lower budgets shifting to Android from iOS given IDFA impact, you see more advertisers coming to you now, our current clients increasing their spend? What are you kind of seeing there?
Bill Stone: Yes. I think it's a really interesting dynamic for us because I mentioned on the call that we're roughly 75% Android, 25% iOS. But if I want to go back in time a few quarters and look at that on a pro forma basis, it's kind of closer to 65, 35 a few quarters ago. So what you're seeing is this migration of spend increasing towards Android for Digital Turbine relative to iOS. And I think that's due to a few things. Obviously, SingleTap would be a driver of that. Also, I think the second driver of that would be at the end of the day, advertisers are looking for people that meet a specific profile. They're not saying, I want an Apple user, I want an Android user. They're saying, yes, I want to male or female that fits this target with these characteristics and whether they use Android or they're less interested and they're interested in how can I reach that person with the most efficient spend. And given that we're seeing right now is that our ability with SingleTap and our other products, we can do that perhaps more efficiently than that advertiser could do on Apple. So therefore, you're seeing those dollars that would shift over in our direction. So that becomes a little bit of a tailwind for us. So, we're starting to see that trend move over to Android. I think we'd expect to see that continue over time or really over the next few quarters. And as I mentioned to Tim's question earlier, I think that will settle out as we get into the middle of 2021 and some of these machine learnings and SK network integrations and people just get smarter on spend and so on.
Chris Quintero: Got it. And then one more, if I can. With a lot of the consolidation that you guys called out going on in the industry, are there any kind of products or maybe adjacent kind of marketing areas that you're particularly interested or are looking to add to your current setup?
Bill Stone: Yes. Yes. We're really excited about some of the developments that are happening right now for us to continue to grow our business. We think we're really in a perfectly positioned place right now. And whether it's the consolidation, whether it's the regulations that are coming down the pike, or just some of the other industry events that are going on, we think we're in a pretty good place to expand into other adjacencies. And we're going to talk a little bit more about that on our Analyst Day next week. So we look forward to sharing some of those details with you.
Operator: And the next question comes from Allen Klee with Maxim.
Allen Klee: With your relatively newer business mix, how do you think about your long-term margin opportunity?
Barrett Garrison: Yes, Allen. We see things coming from enhancements to our margins coming from a few different places. So I'll start with, we would see those margins expanding over time as we saw with the existing core own device business over time. A couple of areas that we see as catalyst for expanding margins. One is we put new products on; two, as we realize the synergies we're talking about is having within our vertical integration strategy, we have more opportunities to expand those margins. And as we continue to launch and ramp our products like SingleTap and others, we'll also begin to optimize the yields in those businesses. But to answer your question, we see those margins expanding north of 30%. We do anticipate talking a bit about -- more about kind of our growth model on our Analyst Day. But you should expect, over time, those margins to accrete north of 30%, certainly. The second point I'd make is beyond gross margins is we're thrilled, as you can tell from our comments about the operating leverage in the business and the expanding EBITDA margins and operating income margins. We see a lot of opportunity in those margins continue to expand, especially as the new acquisitions begin to kind of fuel some of that increased operating leverage from where they stand today.
Operator: And does conclude the question and answer session. I would like to return the floor to Bill Stone for any closing comments.
Bill Stone: Yes. Thanks, everyone, for joining the call tonight, and we look forward to reporting on our progress against all the points we made on tonight's call, and we'll talk to you again on our fiscal '21 third quarter call in a few months and hopefully see many of you next week at our earnings call. Thanks -- excuse me, on our Analyst Day next week. Thanks, and have a great night.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.